Operator: Good day, and welcome to the Pagaya Q4 and Full Year 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. At this time, I'd like to turn the call over to Jency John, Head of Investor Relations. Thank you. You may begin.
Jency John: Thank you, and welcome to Pagaya's fourth quarter and full year 2022 earnings conference call. Joining me today to talk about our business and results are Gal Krubiner, Chief Executive Officer of Pagaya; and Michael Kurlander, Chief Financial Officer. You can find the presentation that accompanies our prepared remarks, our earnings release, and a replay of today's webcast on the Investor Relations section of our Web site at investor.pagaya.com. Our remarks today will include forward-looking statements that are based on our current expectations and forecasts and involve risks and uncertainties. These statements include, but are not limited to, our competitive advantages and strategy, macroeconomic conditions and outlook, future products and services and future business and financial performance. Our actual results may differ from those contemplated by these forward-looking statements. Factors that could cause these results to different materially are described in today's press release and in our most recent Form 6-K as furnished with the U.S. Securities and Exchange Commission, as well as our subsequent filings made with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. Additionally, non-GAAP financial measures will be discussed on the call. Reconciliations to the most directly comparable GAAP financial measures are available in the earnings release and in the appendix to the earnings presentation, which are posted on our Investor Relations Web site. With that, let me turn the call over to Gal.
Gal Krubiner: Thanks, Jency. Thank you all for joining us today to discuss our fourth quarter and full year 2022 results. Today, I will discuss financial and operational highlights from the fourth quarter and full year 2022, review our business model and differentiated value proposition and provide an update on expansion of our network infrastructure. I will then hand it over to our CFO, Mike Kurlander, to discuss our financials and 2023 outlook. We will then take your questions.  This was an incredible year of growth for our company. We delivered $7.3 billion in network volume, which grew 49% year-over-year and was approximately 5x higher than our volume in 2020. We achieved total revenue and other income of $749 million, which grew 58% and was above the high end of our 2022 guidance.  Financial markets were highly volatile with higher cost of funding, driven by multiple interest rate hikes in widening spreads. Our AI network powered by millions of data points on consumer behavior enabled us to react quickly and adjust our model to drive better relative performance. Even with significantly higher cost of capital, we delivered near breakeven adjusted EBITDA of negative $4.8 million in full year 2022.  Our results in the fourth quarter reflect the resiliency of our business. We delivered $1.8 billion in network volume, growing 10% year-over-year. Total revenue and other income grew 25% to $193 million. Adjusted EBITDA was negative $9 million. Mike will discuss our financials in more detail in a few minutes.  This still has exceeded my expectations. We achieved major milestones while learning how to be agile in rapidly shifting external conditions. We are a different company than we were a year ago. In 2022, we made significant progress on our key strategic objective, expanding and monetizing our network infrastructure. We successfully transitioned to a public company, giving us the fuel to drive future expansion.  We delivered record top line results and added industry leaders to our management team, creating a bench with decades of expertise across both tech and financial services. We onboarded six new partners to our network in 2022, including Visa, Klarna, and a top three auto lender. We evaluated twice as many applications in 2022 compared to 2021, and raised more than $7 billion in funding.  I’m proud to announce we also completed our first ever M&A transaction, taking advantage of the current market dislocation to position our business for the future. We acquired Darwin Homes, elevating our SFR offering into a premier end-to-end solution. We also received our first AAA rating from Moody's and DBRS on a single-family rental securitization. With these achievements, we are entering 2023 with a strong momentum.  The exceptional growth we have seen in the past few years is a testament to the strength of our network infrastructure. In just three years, we grew from $100 million of revenues to a $750 million of the business, helping our partners originate over $7 billion in assets annually and providing access to unique investment opportunities for our institutional investors.  I want to take a few minutes to go over the basic fundamentals of our business model. Pagaya is a B2B2C platform, founded with a mission to make financial opportunities more accessible by innovating legacy underwriting system with AI technology and data science. Pagaya is not a lender or a servicer. We partner with financial institutions who originate assets with the assistance of our technology.  At the same time, we connect partners to institutional investors who want exposure to these assets. And now we promise to grow with limited incremental risk or capital. We employ a unique upfront funding model that enables better optimization of investor returns by locking in the cost of funding first before sourcing assets that meet the required return thresholds.  Finally, our network is diverse across five products in consumer credit and real estate with an addressable market opportunity in the trillions. We believe these attributes make our business scalable, resilient and positioned for the long-term growth. The level of infrastructure we are building is getting stronger with time, as we onboard new partners, scale new products and open new channels.  We are collecting more than 25 financial institutions across five products to hundreds of investors across the country, powering the real economy by facilitating billions of dollars of assets creation annually. Since inception, approximately $1.1 trillion in application volume has come through our network, an incredible amount of data in consumer behavior insights that continuously make our model smarter as we grow.  We have been able to deliver consistent value creation over time for our partners and investors. Network volume is driven by two factors; the application flow we see from our partners and the rate at which that application flow is converted to network assets. Application flow, as you can see on Slide 10, grows consistently over time.  In 2022, we saw application flow grow nearly 100% versus the prior year, driven by growth from new partners and as we scale newer products such as auto. As macro conditions evolve, we can optimize for investor retail through our conversion rate. When facing tighter market liquidity conditions or more challenging credit environments, we can reduce our conversion rate to improve asset returns. Our conversion rate declined by nearly 50% in Q4 2022 compared to the prior year as we shifted the portfolio to a more resilient borrower archetype.  Partners are seeing immediately value creation when they join our network. On average, partners have seen 3x growth in origination that are enabled by our network between the third and 12 months of onboarding. In 2022, approximately $650 million of network volume was generated by new partners and channels on our platform.  Institutional investors connected to our network get one-stop-shop access to show duration high yielding consumer credit and real estate assets. AI analytics and data-driven insight enabled relative outperformance of assets originated by our partners versus the broader market. On Slide 12, we show the great performance of our personal loan portfolio from Q1 2021 to Q3 2022 at three months on book.  Our portfolio has consistently outperformed the comparable market benchmark. This is a result of our ability to dynamically adapt to optimize returns as market conditions evolve. We show an example of this on Slide 13 of our presentation. In the fourth quarter of 2021, we spot a credit deterioration in several cohorts in the personal loan borrower population market wide. We reacted quickly to adjust the widening of our portfolio across several attributes, including borrower annual income, long term and direct payment.  As of December 2022, approximately 70% of our personal loan book was widened to borrowers with greater than $70,000 in annual income compared to only 55% in January 2022. We adjusted the duration of the portfolio to reflect a larger proportion of 60-month loans versus 36 months. We saw that a significant portion of borrowers seeking shorter-term loans were looking to refinance following the expiration of the government stimulus. Lastly, we reduced exposure to borrowers who do not opt into Autopay at origination, improving the consistency and stability of payments. Let me shift now to give an update on two of our newer products, auto and single-family rental. Auto is our second largest product after personal loan. We launched auto in 2019 and have seen the product grow to approximately $110 billion of application volume evaluated annually, 8x the level we saw in 2020. We have 10 plus auto partners, including a top three U.S. auto lender who we onboarded in the second quarter of 2022. We are now connected to approximately 20,000 franchised and independent dealerships through our partners, helping them serve consumers in all 50 states.  The power of our network lies in the many cross application opportunities to apply AI-driven data science and technology. In 2020, we made a decision to apply AI to real estate recognizing the significant potential for disruption in the SFR market. There are roughly 16 million single-family rental households in the United States, with an estimated approximately value of $4 trillion. We believe we can reshape the SFR investment landscape with a truly tech-first solution. Our AI engine powered by nearly 300 million unique consumer data points generates insights on evolving credit, demographic and economic trends. We offer a unique value proposition to investors by leveraging these insights to select, acquire and operate homes on their behalf. To take our SFR offering to the next level, we recently acquired Darwin Homes, an industry leading property technology platform led by two founding members of DoorDash.  The combination of Pagaya’s core AI technology and data network with Darwin’s proprietary software and operational does three main things. The first, creates a tech-first fully integrated solution for all participants, including residents, investors and third party service providers. Second, elevates the living experience for residents with a mobile app that offers the full spectrum of services from the application process to later payment processing to homely bills. Third, enable research and data-driven decision making to optimize asset performance on behalf of our investors. I am excited about the path forward in SFR. It's another example of the cross applicability of our AI network in new spaces to create incremental value. While our SFR product is still in a very early stage, the opportunity is significant and I'm confident in the combined capabilities of Pagaya powered by Darwin platform.  To summarize, our achievements this year reflect the hard work and dedication of our team and the strength of our business model that can deliver through all environments. Now let me hand it over to Mike Kurlander, our CFO, to discuss our financials and 2023 outlook.
Michael Kurlander: Thank you, Gal. Good morning, everyone. I'm going to spend the next few minutes discussing how our strategy translates into results with a focus on the key metrics that drive our performance. We had a strong year in 2022. Network volume grew by 49% to $7.3 billion. Total revenue and other income grew 58% to $749 million, exceeding the high end of our 2022 outlook.  Revenue from fees, which make up more than 90% of total revenue, grew by 54% year-over-year. Fee revenue less production costs, a measure of gross profit for our business, grew 10% as the resiliency of our business model more than offset the impact of significant capital markets volatility. I'll discuss this in more depth in a few minutes.  Adjusted EBITDA was near breakeven and negative $5 million, reflecting meaningful investments in our platform to support our future growth. We saw financial markets worsen in the second half of 2022. However, we remain focused on what we could control and our fourth quarter results reflect this.  Network volume was up 10% year-over-year and total revenue and other income increased by 25%. Revenue from fees grew 24%, reaching a record take rate of 10% in the quarter. Production costs, which are expenses incurred from our partners related to the origination of network volume, grew by 60% as newer products and partners grew at a faster pace than our more mature products and partners.  We exercise discipline on our fixed cost base with operating expenses, excluding stock-based compensation, roughly flat in the quarter compared to prior year. I would also note that in the fourth quarter, we returned to a more normalized run rate of stock-based compensation expense of $19 million compared to our first two quarters of being a publicly traded company. Adjusted EBITDA was negative $9 million in the fourth quarter.  As we enter 2023, we're focused on delivering sustainable profitability on an adjusted EBITDA basis. The fundamentals of our B2B2C business model set us up well to achieve this. Pagaya is a connector in the financial ecosystem. The ability to scale and monetize our network is meaningful.  By not having to build a consumer-facing platform from the ground up but rather connect into partners that have existing application flow, we can grow rapidly as we've clearly demonstrated these past few years. And then by ultimately connecting those partners to investors, the monetization opportunity is significant. Combined with increasing scale and discipline cost management, we have a clear path forward to profitability.  Now diving deeper into the components of our revenue model, which you can find on Slide 21 of our earnings presentation. First, network volume is the critical driver of our fee revenue. We have three fee revenue streams, comprised of AI integration, capital markets execution, and contract fees, which combined make up our take rate. AI integration fees are earned from both sides of our network, partners and investors.  Partners utilize Pagaya’s technology to expand their customer base. Investors obtain diversified exposure to unique assets. Pagaya sits in the middle earning fees for the creation, sourcing and delivery of these assets. In 2022, AI integration fees grew from 48% to 65% of total revenue, as we began to earn incremental fees from certain partners related to the growing contribution of Pagaya’s network on their total volume.  Moving on to capital markets execution and contract fees. We have multiple funding channels to enable the purchase of network assets from our partners such as asset-backed securitization. Capital markets execution fees are earned from market pricing of our ABS transactions, while contract fees are related to the management performance and other fees earned for administering these vehicles.  In 2022, as a result of tighter market liquidity and a materially higher investor cost of capital, we saw capital markets execution fees decline from 32% to 15% of total revenues. Contract fees remain relatively stable at 12%.  Finally, interest and investment income, which is not part of our take rate, is primarily earned from our risk retention assets and corporate cash balances. To summarize, revenue grew by 58% year-on-year driven by the 49% growth in network volume combined with a greater ability to monetize both sides of the network, taking our take rate to a record of 10%.  Now let me discuss our unit economics and how they've evolved over time. Our take rate grew from 9% of network volume to 10% during the year. At the same time, we onboarded six new partners in 2022 and scaled into newer products such as auto, which led to production costs increasing to 7% of network volume in the fourth quarter of 2022.  As a result, gross profit was 3% of network volume in the fourth quarter. When put into the context of high inflation and a rapid increase in cost of capital driven by 400 basis points of interest rate hikes during the year, we are proud of our ability to deliver a relatively stable gross profit even in such a volatile macro backdrop.  Now turning to operating costs. As our business grows, operating leverage is being created with scale as you can see on the left side of Slide 23 of our earnings presentation. We are reaching a stabilizing operating expense level after significant investments over the past two years in public company and bank partnership readiness.  Operating expenses, excluding stock-based compensation, as a percent of total revenue fell from 43% in the first half of 2022 to 39% in the second half of '22, while revenue grew 36% over that same time period. We're also taking proactive measures to reduce our fixed cost base as we enter 2023.  I recently announced headcount reduction, in conjunction with other new expense initiatives to be implemented throughout the year, are expected to result in approximately $50 million in annualized run rate savings.  Now I'll spend a few minutes discussing our 2023 outlook. In the first quarter, we expect network volume to range between $1.7 billion and $1.8 billion, total revenue and other income to range between $175 million and $180 million and adjusted EBITDA to range between negative $5 million and breakeven.  In the full year 2023, we expect network volume to range between $7.5 billion and $8 billion, total revenue and other income to range between $775 million and $825 million and adjusted EBITDA to range between $10 million and $25 million. The core assumptions underlying our 2023 outlook include; first, an expectation that the first half of the year will be more challenging than the second primarily due to the state of financial markets.  Also, with rate uncertainty driving expected higher cost of funding in the first half, we're continuing to manage our conversion ratio, which we expect will lead to lower network volume in the first half of the year compared to the second. Finally, we expect volume from new partners to our network to ramp up in the second half of the year.  With that, let me hand it back to the operator for Q&A. After which, Gal will make a few brief closing remarks. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. We will take our first question from the line of Rayna Kumar from UBS. Please go ahead.
Rayna Kumar: Good morning. Thanks for taking my question. You provided some really good data on your unsecured personal loan portfolio on the delinquency rates. Can you talk a little bit about how delinquency rates for your other asset classes are trending?
Gal Krubiner: Definitely, and thank you so much for joining the call today. So first and foremost, I want to make the point is when we are looking on performance, we are looking only for a relative performance. And as within -- in the last few years, we've been very consistent in outperforming the benchmark as we show in the slide. Our two main products are the PL and auto. On the PL, to put things in perspective, in October, our month on book three, DPD [ph] is coming at 1.25% which was much lower than the average of 1.6% at Q3 2022. And to put that in context versus I would say higher than expected vintages of Q3 2021, which was lending at 2.34. So we are seeing a very strong momentum in getting the deqs [ph] to be where they need to be. 2022 expected to be much better than 2021. And we are constantly working to improve this reaching now 50% lower DPD than we used to be in the highs of 2021. On the other side, we didn't experience the same type of phenomena that we saw with PL. So 2021 vintages are actually performing as management expectations. From that perspective, in 2022, we saw a little bit of coming to normality, but deqs are not skyrocketing and they are actually stable. With that, we have increased our weighted average coupon by 200 to 300 basis points to be aligned with investor return and the economy around us.
Rayna Kumar: That's extremely helpful. Thank you. And then, as you mentioned earlier, you went through a 20% workforce reduction in January. How do you think your position now in terms of your cost structure and how are you thinking of balancing near-term expense management with longer-term investments in products, including expanding into new loan categories?
Michael Kurlander: Hi, Rayna. Thanks for joining. Let me take that in two parts. First, your first part of the question is around the reduction in workforce and how we're positioned. And I think the most important thing to reiterate is that we're committed to EBITDA profitability on a sustained basis. And so the workforce reduction was a key step towards that. And as we mentioned during the call, we actually have a broader set of initiatives that we've identified which is going to create $50 million in gross annualized run rate savings. And just breaking that down further, that's comprised of $30 million of compensated related from the reduction in force, and then an additional $20 million of other expense initiatives that we will bring in throughout the year. So we feel like that puts us in a really strong position and that allows us to be really the -- one of the key parts of guiding to a positive EBITDA in 2023. In terms of the second part of your question on how do we manage that balancing of near-term management with longer-term investments? What I'll say is we're continuously focused on execution for the long run. We have not changed at all our strategy or reduced investment in the strategy. And just to be specific about that, we're focused and continue to be focused on big banks, on the expansion of auto, growing our SFR business and the scaling of PL. So none of the actions that we're taking this year are compromising those long-term objectives from the short term. And just to maybe even give you an example of how we're operating to balance. We've taken advantage just in the last few weeks of the market dislocation to invest in the long term, which is part of our acquisition of Darwin. We feel like we've got significant runway in the existing products that we've been building. And with the expense reduction, we're now streamlining our expense base alongside with the revenue expansion. And so just to summarize all of that, we continue to invest in the long term, but we do see opportunity to save on expenses in the near term without compromising those goals.
Rayna Kumar: Great, thank you.
Operator: Thank you. We will take the next question from the line of Eugene Simuni with MoffettNathanson. Please go ahead.
Eugene Simuni: Hi. Good morning, guys. Thank you for taking my questions. So I wanted to ask about the trajectory of network volumes. It seems pretty clear that you guys are maintaining kind of conservative stance on your credit box from the data and approvals. And as a result of that, network volume is staying stable, kind of flattish this quarter. And that's what you're projecting for the first quarter of next year with a potential pick up after that. So help us understand a little bit your philosophy and your considerations around this with seemingly conservative credit stance. What I'm thinking about is signals of potential stabilization in the macro environment that I think are coming up right now and some lenders potentially maybe opening up their credit box a little bit, maybe compare and contrast a little bit how Pagaya thinks about it and how should we think about when Pagaya might be comfortable in relaxing this conservative credit stance, what are you guys looking forward to do that?
Michael Kurlander: Thanks, Eugene, and that's a really, really important question, so appreciate it. Let me unpack that a little bit and talk about our business model. If you think about how we're positioned as part of the ecosystem, we're generating increased application flow through our partners, and that has continued to grow. And you saw some of those metrics in the charts we showed in the presentation. As we continue to grow with new partners, we are scaling into five different products. And that's generating significant amount of application flow to the point of over $1 trillion of applications that we've now seen. That application flow has grown over 100% year-over-year, and really that's the starting point for our network volume is the applications that we see. From the application flow, we then within our control manage the conversion ratio. And as we described, the macro changes we use that conversion ratio as the tool to optimize investor returns. And as investors cost of capital increase, we've tightened the conversion ratio to the tune of around 50% versus Q4 and Q4 versus last year. Now at the same time, we onboarded six new partners, two large partners last year that we've announced, a top U.S. bank in auto and Klarna. And so as we think about going forward, really for us it's about seeing the macro indicators, which allow us to pivot that conversion ratio. We start off the year from a very conservative spot to the extent we see market headwind subside, it will allow us to improve that conversion ratio and generate more network volume. But all of that is in the context of making sure we generate investor returns to the level that our investors require out of us. I don't know, Gal, if you'd like to add anything.
Gal Krubiner: Eugene, I think the close ups here to think about maybe will give you a nice reference of frame. Think about the application as the network volume as the part of the company, which is completely growth. And all what we do all day, every day is to continue to connect to many more partners, getting more unique flow, and continue to bring that independently of where we are standing in the macro environment situation, and that you should expect to continue to be so in the next quarters and years as part of building the franchise and the power of the network. On the other side, as every business, you're managing the short-term risks and opportunities, and that is being driven mainly by the conversion rate that will produce the different outcome. So I think the frame of like the growth of Pagaya is coming from the network application extension. And then over the course of management where the conversion is kind of like a nice frame to put it into caveat between the two.
Eugene Simuni: Yes, got it. That's very clear and very helpful frame. Thank you. I guess just a quick follow up on that. Are there any -- so when you're talking about the management of your conversion volume and the decision, let's say, as 2023 goes on to turn that out, which we’re kind of all waiting for I’m sure, what are the key macro factors that you are looking at? Are there any that you can kind of point to that can help investors track when the environment might be becoming more positive for you guys?
Gal Krubiner: So think about it as two sides of things as we are looking on. So we are less looking on it from the expectations or any kind of heuristics. We are monitoring very closely the production and the performance of the early indicators of production that we do. And as the stage of the economy is in a strong place, that is they have full driver and we are definitely there. So consumer and consumer liquidity is the driver. And the other part of it is the liquidity in the general market that could be influenced by macro economy, by certainty of interest rates. It’s how to quantify to one factor, but like the availability of credit is definitely something across the spectrum that could drive that. But the main most important is it is where the economy is and therefore how much we need to react to different places. And a lot of the things you're seeing that we are becoming much more prudent about is things that we saw in 2021 that we actually didn't like, and we started to see that in Q3 2021. And we started kind of like to change direction from that perspective. So if you think about it, there is -- in a normal environment, minus 45% or 50% of fair conversion I guess will be like higher, so a lot less negative. And we are managing that as we see the economy and the macro trends falling around us.
Eugene Simuni: Got it. Okay. Thank you. And sorry, if I can just throw one more in just a strategic question related to the Darwin acquisition that was very interesting. And Gal, you elaborated a little bit of your excitement about the SFR segment. Can you maybe provide a bit more detail on what you see as the synergies between that business and your kind of core lending enablement business just because you're -- obviously it seems a little bit different since it's not another lending class, it's kind of a different type of the business. So if you can talk about the synergies between the businesses, that would be great?
Gal Krubiner: Sure. So in order to see the connectivity, let's take a step back, or let's go to 30,000 foot, and think about Pagaya and where we see the consumer. So Pagaya is having some interaction through our partners, obviously, but any interaction with a person when he's doing an auto loan takeout or an auto purchase, when he's going and he's doing and taking it 30,000, when he's moving these debt credit cards actually to his consolidated personal loan. And even with the new [indiscernible] and other initiatives that we have, we have discussed about when someone is buying a television online, effectively Pagaya is behind to provide that liquidity and AI in underwriting. And SFR is another pillar from that perspective. When a consumer is making a financial decision, let it be in renting a house that could connect into the applicability of AI and to be able to do that. Now when we speak about SFT and how we thought about it, we started to actually have the discussion and then work 18 months ago with modeling and trying to understand where the trends of the demographics in the U.S. and therefore the different needs for housing is happening in the U.S. And as you can imagine, the SFR is a huge market that is underinvested by institutions. And quite frankly, not a lot of very strong technology has been entering this space yet. We've been doing that for the last 18 to 24 months. And what we started to see in the last few quarters is that in order to get deeper into the execution and unlocking on tech, the advantage of AI and modeling to be able to have an advantage of an end-to-end on the way consumers or residents are actually interacting with their homes and getting the right outcomes, the right pricing, et cetera. There is a world where you can go to a much more vertical oriented and to have the conversation and such. And by doing so, we are having an advantage of having an end-to-end data perspective on how to serve these tenants ultimately. That is coming with Darwin. Darwin created the one of the kind solution that is collectively holding all of these pieces of the management of the houses, of the connectivity to the tenants, et cetera, that will allow our model to unpack much more opportunity from these things and to create a unique solution end-to-end. And from the Pagaya against 30,000 foot perspective, obviously the asset could be coming in other data modes from the real estate that adds to the full network and capabilities that we have. So I know it's a little bit a lot, but I hope it gave you kind of like the direction and the connectivity how we think about it and how we see it.
Eugene Simuni: No, that was super helpful, Gal. Thank you very much, guys.
Operator: Thank you. We’ll take the next question from the line of Hal Goetsch with Loop Capital. Please go ahead.
Hal Goetsch: Good morning. Thanks for taking my question. I wanted to ask about the auto business. And you mentioned you're connected to 20,000 dealerships, both franchise and independent, and that's a staggering number because there's only about 18,000 franchise dealers in the country and a lot more independent but a lot of scale. Of the 20,000, how many of them are active or have done at least one loan or more? That's my first question. Thanks.
Gal Krubiner: So can you repeat the question? I'm looking at the second part. The first one about the independent I heard. The second part, I’m not sure I follow.
Hal Goetsch: The question is of the 20,000 you mentioned you're connected to, how many of the 20,000 have you done alone with? Is it all 20,000 or is it half or is it -- where are you at in penetrating kind of -- getting activity on the platform from those 20,000?
Gal Krubiner: Sure. So just to put the numbers in perspective, when we're talking about the 20,000 is independent and franchise. And we see applications from all of them. Just to be clear, we are not connected to them directly. We are connected to them through our partners that have that scale with them. So we took the approach of instead of going after the actual franchise and independent dealerships, which is not our business, we are connected to very big lenders that have already established one of the kind, very mature type of pipes with all of them. So as we think about the business, we are actually connecting to the partners that at the end are connecting to these 20,000 independent and franchise. So the flow as you think about it is coming through all these dealerships and are getting access to the applications, and I don't have a number of top of my head, but we deal with a very big part of them already now take up of loan.
Hal Goetsch: That's an even better setup. So is that the number three auto lender that that's your partner, or is it a dealer management system company that you're connected to that helps you get to those 20,000?
Gal Krubiner: So we are connecting singularly to over 10 partners. The one you said is like we are connected to one of the biggest top three partners, and they are connected to many different franchises and dealerships and the flow that goes through that goes through us too.
Hal Goetsch: Excellent. Thank you. That's great. Thank you very much.
Gal Krubiner: Thank you for your questions.
Operator: Thank you. We’ll take the next question from the line of Joseph Vafi with Canaccord Genuity. Please go ahead.
Joseph Vafi: Hi, guys. Good morning. Nice results here in a tough environment. Maybe we start on the funding side a little bit, nice to see 7 billion in funding in 2022. Maybe you could provide us an update from your perspective on continued investor appetite for these asset classes of loans. Where you are right now and how much I guess runway you've got available into 2023 with existing funding vehicles? And maybe any expectation of how you look at potentially raising new ones this year? And then I have a follow up. Thanks
Gal Krubiner: Sure. So from an appetite, I would say that like Q4 was the hardest. You had the least amount of liquidity in the market. And in that quarter, we closed $1.4 billion off ABS. When you were thinking about the start of the year, the start of the year started much better. And we just priced this week an $800 million ABS which was kind of like 4x oversubscribed on the more senior path and over 1x subscribed on the junior pieces. So we see a healthy comeback into that reality. And as we see the historical deqs are coming to go down, we expect that number to go materially higher. So we will not say that these are the best days for that type of discussions and partners, but definitely cost of funding for Q4 to Q1 from a spreads perspective went down. And we are very well established in the institutional investor worldwide to be able to tap that market as a top leader from that perspective. And maybe another interesting part to note is that like in our recent ABS, we have one of the most diversified group we have had in a long time. So we are continuously adding new investors as such.
Joseph Vafi: That's great. That's great color, Gal. And then I guess maybe could you go into a little more detail? It sounds like take rate’s moving up some, but program fees are moving up also offsetting some of the take rate, how that balance works? And I know you mentioned some program fees for newer partners were higher, and maybe why is that, just that balance on kind of COGS versus revenue side would be great? Thanks a lot.
Michael Kurlander: I'll take that one. Thanks for the question, Joe. Let me honestly split it into two parts. I’ll first talk about the take rate side. And on revenues what we're seeing is that we've really started to benefit from the two sided network that we've built, and particularly our role in the ecosystem. And what I described in some of the prepared remarks was around the increased monetization, and what is on the fourth quarter was AI integration fees were higher, they were higher because we've been able to demonstrate through these markets the value of Pagaya in many cases being 20% to 30% of volume on some of our partners’ networks, or some of our partners’ platforms. And so that's translated into an ability for us to generate higher economics with those partners. And integration fees were up and that offset some of the softness that we've all experienced in the capital markets. So that's on the take rate side and then that take us to roughly 10% level in the fourth quarter. Now looking forward, I think we've said before, 8% to 10% of a range I think given the expansion that we've seen, probably 9% to 10% is a reasonable range for us for 2023 and that will also be driven somewhat by product and partner mix. Now on the production cost side, you're right to point out that production costs are higher. Now, again, that is a function of product and partner mix. And particularly, what we see is we're expanding into new products and with new partners. It's typically in the early days of those relationships. We have lower margin, or in other words higher fees, higher costs. And those higher costs are associated with either the product itself. So for example, in auto, there's this higher structural fees given there's more market participants, there's dealers, in addition to lenders, et cetera. And then with partners, again, we want to make sure we're in there proving the value proposition of Pagaya, and we're happy to do that for a period of time before we then talk about economic optimization. And so that's why you're seeing the production costs ranging up and those we expect to be in the 6% to 7%. So putting those two things together, call it, 9% to 10% on the take rate side, 6% to 7% on the production costs, that leads to a gross profit, which we expect to be stable and has been stable, relatively stable over the last year or so in the 3% range. Hopefully that helps answer your question, Joe.
Joseph Vafi: That was a good explanation. Thanks, Michael.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I'd like to turn the floor back over to Gal Krubiner, CEO, for closing comments. Over to you, sir.
Gal Krubiner: In closing, I would like to reiterate how proud I am of our team and what we have accomplished in 2022. We have a strong momentum into 2023. And I want to thank all of you for joining us today and we look forward to continue to partner with you in the future. Thanks a lot and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.